Operator: Greetings. Welcome to the Atlanta Braves Holdings First Quarter 2025 Earnings Call. [Operator Instructions] As a reminder, this conference is being recorded. It is now my pleasure to introduce your host, Cameron Rudd, Vice President of Investor Relations. Thank you. You may begin.
Cameron Rudd: Before we begin, we'd like to remind everyone that on today's call, management's prepared remarks may contain forward-looking statements. Forward-looking statements address matters that are subject to risks and uncertainties and may cause actual results to differ from those discussed today. A number of factors could cause actual results to differ materially from those anticipated, including those set forth in the Risk Factors section of our annual and quarterly reports filed with the SEC. Forward-looking statements are based on current expectations, assumptions and beliefs as well as information available to us at this time. and speak only as of the date they are made, and management undertakes no obligation to update publicly any of them in light of new information or future events. During this call, we will discuss certain non-GAAP financial measures, including adjusted OIBDA. The full definition of non-GAAP financial measures and reconciliations to the comparable GAAP financial measures are contained in the Form 10-Q and earnings press release available on the company's website. Now I'd like to turn the call over to Terry McGuirk Chairman, President and CEO of Atlanta Braves Holdings.
Terence McGuirk: Good morning, and welcome to the Atlanta Braves Holdings First Quarter 2025 Earnings Call. I want to share just a few brief comments before turning the call over to Derek, Mike and Jill, who will provide more specific operational and financial updates from the first quarter. I'd like to begin by discussing the team on the field and how we feel about the early results of the 2025 season. We got off to a slow start this season while facing a very difficult stretch of road games. That being said, we have seen the team demonstrate real resilience and begin to move in the right direction. We had a nice streak of 8 wins in 10 games recently, which jumped the team back into contention in the National East, and the team has continued to play at a high level since then. In addition, the emergence of Alex Verdugo and Eli White is a great reflection of the job Alex Anthopoulos, President of Baseball Operations, does to fill holes when one or more of our starting players goes down. We remain optimistic that with the continued evolution of our roster the near-term return of a fully healthy Spencer Strider and Ronald Acuna Jr and the continued strong performance from our players on the field that this team can make a real run in the playoffs in 2025. We appreciate the support of our incredibly loyal fan base, which is a critical element to the success of our team. I always want to thank our fans for their patience, passion and commitment to our success. With that, let me talk just briefly about our sport. 2025 is an exciting year for Major League Baseball. There has never been more talent across the league and the play on the field is highly competitive and entertaining. This will attract significant interest in the League's media rights and I have confidence in the commissioner and his ability to negotiate successful new media agreements in the coming years. With respect to the collective bargaining agreement, it is early, but I firmly believe the players and owners have respect for each other and a desire to reach an agreement that works for all of us. With all of that said, we are optimistic about the continued growth and success of the sport. Importantly, we are confident that the organization is well positioned for long-term success. Our goal is excellence in everything we do, and that will remain our focus on the field and in our business. We have a business model that works very well. It is driven by multiple revenue streams supporting baseball and our growing mixed-use real estate development, the Battery Atlanta. We also look forward to welcoming analysts and institutional investors to Investor Day in Atlanta in June. It will give everyone an opportunity to see this high-performing baseball organization up close as well as experience the great game day experience in the Battery Atlanta and Truist Park. With that, I will turn it over to Derek, Mike and Jill, who will walk through the results from the quarter.
Derek Schiller: Thanks, Terry, and good morning to all. As a reminder, the first quarter is really at the outset of our season. And so revenue from ticket sales, concessions and merchandise is less meaningful than the rest of the year based on the timing of the season. As Terry mentioned, our team has battled back from a difficult start to the year and has shown tremendous life since mid-April. We're excited about the season and are confident that we can maintain our momentum for the rest of the year. Early trends in terms of fan attendance and ticket sales have been robust, and we've had 7 sellouts since the start of the season. Beyond that, we are excited to have The Savanna Bananas played at Truist Park in March, their branded baseball entertainment attracted more than 140,000 visitors to Truist Park in the Battery Atlanta over the course of 2 days. Finding ways to use our ballpark and attract people to our campus at all times of the year is core to our strategy and we will continue to look for ways to do that moving forward. Looking ahead, we continue to be hard at work alongside Major League Baseball as we prepare to host the 95th annual All-Star game, which will put The Battery Atlanta and Truist Park on display for baseball fans from around the world. In addition, we're excited to be part of the 2025 MLB's Speedway Classic, which will take place on August 2 at Bristol Motor Speedway, one of NASCAR's most iconic tracks will face off against the Cincinnati Reds and a special regular season show down at The Last Great Colosseum in Bristol, Tennessee. We were excited to start the season with FanDuel Sports Network and Gray Media bringing our games to more fans than ever before. The Braves are an important piece of FanDuel's early success on the direct-to-consumer streaming front. In addition, our Gray Media relationship is giving us new opportunities to share content with fans across our territory. As the season progresses, we believe that interest will grow and our audiences will expand with that. In terms of the fan experience, we recently opened the outfield market located in the ballpark. Fans have enthusiastically embraced the local restaurant fare and is becoming a must visit for our fans. We continue to believe that we are exceptionally well positioned to have a successful season and are grateful for the continued support of our fans and partners. With that, let me now turn it over to Mike Plant, who can discuss our acquisition of Pennant Park and recent updates to the Battery Atlanta. Mike?
Mike Plant: Thank you, Derek. First and foremost, I want to acknowledge that this quarter truly marked a significant milestone in our strategic growth plan for our real estate portfolio with our recently announced acquisition of Pennant Park. This 6 building office complex adjacent to the Battery Atlanta will surely enhance guest experience as it offers over 2,700 parking spaces available for the approximately 9 million visitors, The Battery Atlanta sees throughout the year. This acquisition is a testament to the success we have had as an operator of office real estate despite the challenging market. with our existing office space at 99% occupancy, Pennant Park allows for continued growth and expansion to this important piece of our business. From a portfolio standpoint, this acquisition is a strategic diversification that aligns with our long-term vision of transforming our broader campus into a fully integrated destination. This acquisition adds an additional revenue stream to our core business, while also helping reduce the seasonal nature of baseball revenue. We continue to see strong interest from big brands who want to be part of the Battery Atlanta. Just last week, Shake Shack announced it will open its second U.S. support center here later this year. The new Atlanta office will join the brand's original support center in New York and its international support center in Hong Kong, forming a global network that supports Shake Shack's 336 domestic company-owned Shacks and roughly 13,000 U.S.-based team members and more than 250 licensed Shacks across 20 countries. In addition to the new support center opening later this year, Shake Shack will debut a new flagship restaurant at the Battery Atlanta this summer, introducing an exciting evolution of the brand. This is yet another example of our ability to attract and retain high-quality tenants to our campus as we continue to grow. Lastly, I want to highlight that it is top of mind for us to strengthen our recurring revenue streams and create long-term shareholder value. Therefore, we continue to evaluate assets and opportunities in the surrounding area of Truist Park and The Battery Atlanta that advance our core mission of delivering the best sports and entertainment experiences. And with that, I'll turn things over to Jill to discuss the company's financials.
Jill Robinson: Thanks, Mike. Before I begin, I want to remind everyone that a majority of our revenue is seasonal and is aligned to the baseball season. In the first quarter of 2025, there were no regular season home games played and 5 away games versus in '24 when we also had no regular home games played and 3 away games. Total revenue was $47.2 million in the first quarter of 2025, up from $37.1 million in the first quarter of 2024. We are very pleased with our performance. As a reminder, if the company manages its business based on the following reportable segments: baseball and mixed-use development. Baseball revenue was $28.6 million in the first quarter of 2025, up from $22 million in the first quarter of 2024. This revenue increase was driven by a combination of increased broadcast revenue and other revenue. Broadcast revenue increased $2.2 million due to 2 additional games held in the first quarter of 2025 and compared to the prior year and the impact of contractual rate increases. Other revenue increased $4.3 million during the first quarter of 2025 as compared to the corresponding period in the prior year, primarily due to events held at Truist Park, including hosting 2 games for The Savanna Bananas. Mixed-use development revenue was $18.6 million in the first quarter of 2025, up from $15.1 million from the same period last year and was primarily driven by increases in rental income from new lease commencements, sponsorship and parking revenue. Adjusted OIBDA improved to a loss of $28.5 million, up from a loss of $33.8 million in the first quarter of 2024. This improvement was due to an increase in both base set by an increase in baseball operating costs, including increased player salaries, increased revenue share expenses and expenses for events held at Truist Park. Our operating loss improved to $44.5 million in the first quarter of 2025 as compared to an operating loss of $52.4 million in the first quarter of 2024 primarily due to an increase in revenue. As of March 31, 2025, the company had $244.7 million of cash and cash equivalents. Nearly all of our cash and cash equivalents are invested in U.S. treasury securities other government securities or government guaranteed funds, AAA-rated money market funds and other highly rated financial and corporate debt instruments. As of March 31, 2025, our mixed use borrowings have increased due to construction draws and to support the expansion of our real estate footprint. We have $275 million of untapped liquidity in the form of 2 baseball revolvers, which we believe provides us flexibility for the future. And with that, operator, let's open the line for questions.
Operator: [Operator Instructions] Our first question is from Barton Crockett with Rosenblatt Securities.
Barton Crockett: I guess a couple of things I was curious about if we can touch on it. One is just looking at this quarter's results, I understand it's a small quarter seasonally, but you had your mixed-use revenue is growing faster than the mixed-use expenses. And a similar trend, I think, in baseball revenues. I'm just wondering how sustainable that is for any period of time, a couple of quarters or longer term, how you feel about that type of trajectory.
Jill Robinson: Yes. Thanks, Barton, for the question. I think if you were to look at our results on an annual basis, it's really hard to evaluate these things on a quarterly basis due to our seasonality. You would see that that's really our goal is to have revenues grow faster than expenses, and we certainly try to manage that number. The baseball -- the Braves development year-over-year growth is really a factor of our continuing growth in our real estate footprint. Baseball is just as we talked about a bit of anomaly because of the number of games in the season.
Barton Crockett: Okay. But it sounds like there is some confidence that the mixed use that this is -- some form of this could be a trajectory going forward, revenue gross margin growth.
Jill Robinson: Right. Well, we haven't layered in the Pennant Park acquisition yet. So you can certainly expect to see capability from that front going forward.
Barton Crockett: Okay. And then I was wondering on Pennant Park. Is there any kind of color you can give us on the impact that will have on the P&L? And also, is the cost of that acquisition disclosed or in the first quarter financials?
Jill Robinson: We're not going to provide any guidance going forward on Pennant Park, although we have said that it is accretive immediately and the purchase price is disclosed in the filings.
Operator: [Operator Instructions] Our next question is from Ben Swinburne with Morgan Stanley.
Benjamin Swinburne: I want to ask about the media outlook, both, I guess, local and then thinking more nationally. Obviously, there's a big debate in the business about the opportunity with the direct-to-consumer business. I don't know if there's anything you can share either in terms of number of subscribers early in the season to the FanDuel Sports Networks that are accessing Braves games in market or anything you've learned so far that might have surprised you? Or how much the Braves team itself and the organization is sort of marketing that service? Anything you could share would be really interesting, given it's obviously an important strategic opportunity for the business. And then there's a lot in the press focused on sort of not just for baseball, but for all the leagues or many of the leagues trying to reaggregate local rights into national packages. And I think we've got a couple of years before that probably turns into a reality. But I'm just curious how the Braves think about the idea of sort of contributing more and more of your local exclusive rights into a national package if that's something you're amenable to? How do you think about kind of the pros and cons as a team with a big local opportunity that might lead to maybe greater revenue share with smaller market teams.
Derek Schiller: Thanks, Ben. It's Derek. I'm going to try to answer the first half of that, and then I'm going to let Terry jump in and get to the second half. So on the first half, really asking about our local or regional media outlook. Obviously, when Diamond Sports Group reemerged as Main Street Sports from their bankruptcy, that's a positive. It's positive for them, but it's also a positive for us. It gives us some certainty about what their outlook is. And that was something that we were absolutely looking forward to. And as a reminder that when they did that, as part of that reemergence, we reformulated that agreement with them slightly, where we unlocked D2C rights, the streaming option for them, which is the first time that the Atlanta Braves have been offering streaming for our -- as part of our regional sports network package. So they've been in the marketplace for a few months now on that streaming. They did push out a press release that Main Street Sports did that talked about the successes of their streaming subscription business. And while they did not specify and itemized team by team. I think it's safe to say that the Atlanta Braves represent a significant portion of those D2C subscriptions. So we look at that as something that's a very good trend, something that is favorable, not just for them, but maybe most importantly for our fans because more and more of our fans are looking for that option and being able to unlock that has created viewership options for them that they didn't previously have. So we're seeing that anecdotally and hearing from our fans anecdotally, but we're also seeing some of the numbers that they're providing to us and are quite pleased with where things stand. I think that's going to be a continued evolution. I think you're going to see more and more of that occur. And we're obviously helping with them in trying to promote to our fans the availability of those broadcast and all the ways that you can watch the Atlanta Braves. So I'll leave that there. And Terry, do you want to touch on the national?
Terence McGuirk: Yes, Ben, I would -- I'd start off saying that I think you're correct in your view that the local territorial rights -- media rights of the Atlanta Braves are very strong. We -- that's on a steady-state basis going forward. we like our position and we like the growth a lot. It's no coincidence that our rights in the territory with FanDuel expire at the same time as the MLB National rights. I think that provides some optionality and some opportunities for the future, which really signal even more growth. And so we're all about focusing on the growth of these media rights, and we'll see how it all breaks down into the future.
Operator: There are no further questions at this time. I would like to turn the floor back over to management for closing remarks.
Derek Schiller: Thank you, operator, and I'd like to thank everybody for joining the call. We appreciate you jumping in and listening to what we have going on. We look forward to seeing some of you on Investor Day, which is June 18, as a reminder. And with that, this concludes the call. Thank you very much.
Operator: Thank you. We thank you for your participation. You may disconnect your lines at this time.